Operator: Greetings, and welcome to the Ball Corporation Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Dan Fisher, CEO. Thank you, sir. You may begin. 
Daniel Fisher: Thank you, Christina. Good morning, everyone. This is Ball Corporation's conference call regarding the company's fourth quarter and full year 2023 results. The information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are in the company's latest 10-K and in other company SEC filings as well as company news releases. If you do not already have our earnings release, it is available on our website@ball.com. Information regarding the use of non-GAAP financial measures may also be found in the Notes Section of today's earnings release. In addition, the release includes a summary of non-comparable items, as well as a reconciliation of comparable net earnings and diluted earnings per share calculations. Before we discuss Ball's strong earnings and cash flow performance, I would like to remind call participants that on August 17, 2023, the company announced an agreement to sell its aerospace business. The transaction is subject to regulatory approvals and certain closing conditions and adjustments. Relative to the company's aerospace divestiture, which is projected to close in the first half of 2024, certain forward-looking financial metrics provided in today's earnings release and conference call commentary may differ from those expressed or implied due to the timing of a successful closing of the timing of the proposed use of proceeds. Today I'm joined on our call by Howard Yu, EVP and CFO. I will provide some brief introductory remarks. Howard will discuss 2023 financial performance and key metrics for 2024, and then we will finish up with closing comments and Q&A. Our team delivered strong operations-driven fourth quarter results and for the full year. We achieved double-digit comparable operating earnings growth and generated $818 million in free cash flow. 2023 also delivered a dynamic set of strategic decisions and factors that influenced results and sharpened Ball's vision for the future, including our decisions to sell aerospace for a premium valuation and to reduce fixed costs by adjusting our manufacturing footprint and factors that influenced year-over-year results, such as a large U.S. customer experiencing major brand disruption, an $86 million comparable operating earnings headwind due to the Russian business sale, and the effect of Argentine hyperinflation and currency devaluation. Late in 2023, we also had the good fortune of welcoming Howard to Ball. Many of you listening have already had the pleasure of meeting with Howard at multiple conferences and our investor community welcome reception in November. His financial expertise, engaging nature and fresh eyes are adding value out of the gate and activating another stage of continuous improvement actions at Ball. Over our 144-year history, each year has presented its opportunities, challenges and changes, and the legacy of how the Ball team continuously adapts to position the company for long-term success is the reason we are all here today. I'm proud to say that the resiliency of our team and our chosen substrate, aluminum packaging, combined with improving plant and program execution, more than offset the earnings impact of challenges experienced in 2023. And there were and are many more things to be done to make the most of our opportunities. Reflecting further on 2023, our customer mix and inflationary effects on end consumer demand drove our shipments. Global shipments ended 2023 down 3.3%, excluding Russia sale impact, and shipments would have ended the year roughly flat versus 2022, absent the U.S. brand disruption issue. All-in, the aluminum package industry continues to outperform plastics and glass packaging. For Ball, continued volume strength in Brazil and better than expected volume in North America to close out 2023 offset regional softness in Argentina and EMEA. For a complete summary of regional shipments for the fourth quarter and full year of 2023, please refer to today's earnings release. Looking ahead, our global teams are energized by recent commercial wins and other constructive customer discussions to continue packaged mix shift to cans. We will continue to advance sustainability of aluminum packaging by accelerating our pathway to carbon neutral and leveraging the scale of our footprint, innovative portfolio, and value chain partnerships to expand opportunities for our customers over the long-term. Given seasonality, our customer mix, and the April 2024 anniversary of the U.S. customer brand disruption, we anticipate year-over-year volume growth to favorably inflect after first quarter 2024 and accelerate further in 2025. Significant opportunity lies ahead to offset the financial impact of the projected aerospace sale and to drive compounding value creation for our fellow shareholders. Key drivers in 2024 will be the utilization of net proceeds from the aerospace sale to deleverage and repurchase stock, improving operational efficiencies and fixed cost absorption, leveraging our well-capitalized plant assets to grow the use of innovative, sustainable aluminum packaging across channels, categories, and venues, in addition to further actions to strengthen the balance sheet and reduce long-term liabilities. Based on our current demand expectations and the potential timing and benefits of the aerospace sale proceeds, we are positioned to grow comparable diluted EPS, generate strong free cash flow, strengthen our balance sheet, and accelerate return of value to shareholders in 2024. We look forward to showcasing our team and unveiling our future operating model and long-term growth plans at our biennial Investor Day scheduled for June 18th in New York City at the New York Stock Exchange. And with that, I'll turn it over to Howard.
Howard Yu: Thanks Dan. Over the first few months of my onboarding and immersion, I have learned more about the business by visiting our teams in North America, South America, and EMEA, toured multiple manufacturing facilities to see how our innovative products are made, and attended several investor events where I've had the opportunity to meet many of you on this call. It has become more apparent what a terrific workforce we have around the world and what a tremendous opportunity we have in front of us to make an impact for our customers, shareholders, and communities. I would like to thank my global colleagues, investors, and analysts who have taken the time to give me such a warm welcome. Turning to our results. 2023 full year comparable diluted earnings per share was $2.90 versus $2.78 in 2022. And fourth quarter 2023 comparable diluted earnings per share was $0.78 versus $0.44 in the fourth quarter of 2022, an increase of 4.3% and 77.3%, respectively. Full year sales decreased due to the pass-through of lower aluminum prices, lower beverage can volumes, and the sale of our Russian business offset by the pass-through of inflationary costs and increased volumes in our aluminum aerosol. Full year comparable operating earnings increased nearly 10% year-over-year, primarily due to the contractual pass-through of inflationary costs, fixed cost savings, and benefits of our prior year SG&A cost-out initiative offsetting the headwinds in the sale of our Russia business and lower volumes. The global operations team finished the year strong, hitting their CapEx, raw, and finished inventory goals, setting the stage for continued improvement of better fixed cost absorption in 2024, particularly after we anniversary the customer brand disruption and cease production in the Kent plant in the first quarter of 2024. Versus recent years, we anticipate our production aligning with shipments as we step into incremental volume growth later in 2024. In North America, supply demand has tightened up following the footprint adjustments, and we continue to focus on lowering costs across our well-capitalized plant network and driving incremental volume growth without spending incremental capital. Exiting 2023, PPI remains a net positive. Non-alcohol global key accounts have started to gain traction in retail, and we continue to prepare for additional modest volume improvement after the first quarter and net of historic customer shifts. In EMEA, the business nearly filled the $86 million comparable operating earnings hole from the Russia business sale and continue to navigate varying consumer end demand conditions, particularly in Egypt, Turkey, and the U.K. The business is poised for year-over-year comparable earnings growth in 2024, largely in the second half. In South America, our volumes increased 2.2% in the fourth quarter of 2023, despite ongoing weakness in Argentina. We continue to monitor the situation in Argentina and potential scenarios that could impact results. We remain optimistic about Brazil, with January volumes off to a good start as the summer selling season continues. Our non-reportable results led by aluminum aerosol 8.2% volume growth and double-digit operating earnings growth finished 2023 strong. Moving on to additional key financial metrics and goals for 2024. We achieved our year-end 2023 net debt to comparable EBITDA goal of 3.7 times, and incorporating the use of projected aerospace sale proceeds and strong cash generation in 2024, we anticipate year-end 2024 net debt to comparable EBITDA to be in the range of 2.7 times. 2024 CapEx is targeted to be in the range of $650 million, a year-over-year reduction of $400 million, and largely driven by carry-in capital related to prior year’s projects. 2024 free cash flow is expected to be in the range of $500 million, excluding the [technical difficulty]
Operator: Ladies and gentlemen, please stand by. Your conference will resume momentarily. Again, ladies and gentlemen, please continue to hold. Your conference will resume momentarily. Ladies and gentlemen, your conference may now resume.
Howard Yu: Cash flow is expected to be in the range of $500 million, excluding the impact of taxes due on the projected aerospace sale. Our 2024 full year effective tax rate on comparable earnings, including the effect of projected aerospace sale, is expected to be approximately 21%, largely driven by lower year-over-year R&D tax credit. Full year 2024 interest expense is expected to be in the range of $330 million, including the impact of lower leverage following the successful aerospace closing. Full year 2024 corporate undistributed costs recorded in other non-reportable as expected to be in the range of $85 million and more first half-weighted versus last year. And last week, Ball declared its quarterly cash dividend, and we look forward to reinitiating meaningful share purchases during 2024 and beyond. Also, a call-out about tough year-over-year comps we face in the first quarter of 2024, driven by North America and corporate costs. Due to the 2023 favorable virtual power purchase agreement settlement, totaling approximately $30 million and a similar impact of the customer brand disruption, which does not anniversary until April of 2024, North America earnings and volumes will be down year-over-year in the first quarter. Looking at 2024, we will be laser-focused on operational excellence, driving efficiency and productivity across our business, optimizing SG&A costs, and offsetting stranded costs post-aerospace divesture. In addition to strengthening our balance sheet by deleveraging and other actions. We are committed to delivering value through share repurchases and dividends, and will communicate and stay close to our shareholders. With that, I'll turn it back to Dan.
Daniel Fisher: Thanks Howard. As we continue to make progress in 2024, we anticipate growing our EPS and offsetting the divestiture through growth in our aluminum packaging operations, interest income, lower interest expense, and the benefit of a lower share count. Looking ahead, we are focused on executing our enterprise-wide strategy to advance sustainable aluminum packaging solutions on a global scale by accelerating our pathway to carbon neutral and unlocking additional value from within the organization by driving continuous process improvement and operational excellence. Together, we will strive to deliver innovative aluminum packaging solutions that can lead to a world-free from waste and embark on a path to deliver compounding shareholder returns in 2024 and beyond. We appreciate the work being done across the organization and extend our well wishes for a prosperous 2024 to our employees, customers, suppliers, stakeholders, and everyone listening today. Thank you to everyone listening, and with that, Christina, we're ready for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Ghansham Panjabi with Baird. Please receive with your question.
Ghansham Panjabi: Thank you, operator. Good morning, everybody.
Daniel Fisher: Hey, good morning.
Ghansham Panjabi: Morning. Dan, maybe you could just start off just kind of giving us the base case for volume assumptions across the different geographies you have exposure to for 2024. I know you made some comments on the first quarter, but how do you think the full year is sort of going to unfold with all these ups and downs across the statements, Europe starting to decelerate and obviously comps in North America?
Daniel Fisher: Sure. Yeah, so I think in Europe, what you'll see is -- I think in both Europe and North America, you'll see volumes get better. Sequentially, I think you'll start to return to growth somewhere in the second quarter in North America and you'll see growth in the second, third and the fourth quarter in Europe as well. As we've -- North America is unique, obviously, because we're lapping the difficult comp there, but we'll get to flat for the full year in that range, maybe a little better. But you'll start to see sequential improvement towards the end of the year and then heading into 2025 will be kind of in that growth range of 2% to 3%, I believe heading into 2025. That being said, Ghansham, it's early days, but we're a little ahead here in January, really in all three regions. That should be noted. So, it's only one month, obviously, but we're actually seeing positive inflections in the U.S. for the last four weeks, slightly favorable. And for one week, we're favorable. And that's the first time in a couple years that we've seen that. So, knock on wood off to a decent start. I'm not overly excited, but it's better than it has been. So that's a positive. And then in South America, we believe like mid single digit growth. Brazil continues to be strong for us. Our exposure to the other markets will play a role. Argentina is a little ahead of what we thought it would be from a plan basis. But that's still down year-over-year. But I think a lot of the changes that the executive branch made in Argentina, they're coming off as a little bit more favorable than I think a lot of the world thought would happen from macroeconomic standpoint at the tail in the last year. So, we're a bit encouraged there, but it is Argentina. Let's see what happens. So, 2% to 3% growth globally mid to high single digits for South America, low mid single digits for Europe and flattish with a lean that we could get a little bit of growth in North America for 2024.
Ghansham Panjabi: Great. You need Taylor Swift to push cans.
Daniel Fisher: Yeah.
Ghansham Panjabi: And then second question, the call kind of cut out during -- I just want to make sure I understood the free cash flow was $500 million for 2024. And if so, what are the embedded assumptions in there? I know you gave cash interest, I mean, interest expense, because we're having a tough time getting to that number with $650 million.
Daniel Fisher: Sure, Ghansham. So, let me try to walk you through that a little bit. I think we have a tax payment that's going to be associated with the aerospace divestiture that runs through our operating. And so, obviously, it's going to impact our free cash flow. We have talked about a $650 million CapEx number that we anticipate as well. And then what we're doing, and we talked about a little bit in the third quarter, but here in 2024 we will be unwinding some of the factoring the balance sheet AR that we've historically used. And so that will obviously be an outflow from a cash flow perspective. And so, we're targeting, let's call it roughly half a billion dollars in that as well. And so -- but maybe to speak to the underlying business, we will continue to generate the operating earnings that you see roughly in the range of 15 to 18 in terms of a billion consistent with what you saw here in 2023.
Ghansham Panjabi: Fantastic. Thank you so much.
Daniel Fisher: Yeah.
Operator: Our next question comes from the line of Arun Viswanathan with RBC. Please proceed with your question.
Arun Viswanathan: Great. Thanks for taking my question.
Daniel Fisher: Sure.
Arun Viswanathan: I guess, first off in North America, just wanted to understand what you're seeing as far as promotional activity and maybe you can just kind of reiterate or update your thoughts on how we kind of proceed through the first half and if there's any been any offset from the Bud Light loss and in other -- the other kind of brands that you're seeing or customers.
Daniel Fisher: Sure. I think speaking to -- I think your question leans a little bit into am I seeing any promotional activity? Is there anything different just in the domestic landscape here? I'd say what we're hearing from our customers and it's manifesting slightly, you don't see a lot of promotional activity in January. You do as we -- now the next two weeks as we lead in the Super Bowl is typically when you would see some traditional and we are seeing some of that. But I think writ large, what everyone of the large CPG customers is acknowledging is that they're going to have to fight for top line this year. And that should benefit. It should benefit us. That should benefit the industry. We're seeing some inflections of growth, as I mentioned in the four week and the one week that look different than I think the last 18 to 24 months. So that's all positive. And then relative to kind of filling the Bud Light hole, if you will. Yes, there's some incremental volume that's helping to net impact that. But for us, we do a lot of that product and they have a vertical. And so, we're exposed to that brand. The things that were exposed to elsewhere are much smaller. They're growing. They're filling in some of the hole, but it's not -- it's not material, I would say it's incrementally better, not materially better. It's still the best thing is going to be other products from that particular brewer to grow. And so, I think that with a combination of you are seeing that brand kind of bottom out and starting to increment up. So, all of those things we anticipated it looking like this probably for the last six to nine months. And we've indicated that. There's nothing meaningful different from a guidance standpoint that I could really share at this point. We may see a little bit more now that we're heading into Super Bowl and some more traditional promotional activities. But I don't think you completely close the gap on this until we see other brands, other products kind of close that gap for us here as we lap the April sunsetting of that marketing issue.
Arun Viswanathan: Great. Thanks. And then if I could just ask about one more follow up.
Daniel Fisher: Yeah, sure.
Arun Viswanathan: It's on the portfolio, or at least the footprint. Do you think there's more actions that are coming as far as supply/demand and maybe your own capacity footprint, maybe by region, is there a need to maybe adjust some of your footprint in Europe or North America? I know you're not going ahead with Las Vegas, but what are some of your thoughts and maybe just kind of loop in. If you've seen any -- or if you're expecting to kind of announce like a larger scale cost reduction program within North America, or if you're kind of satisfied with where you are. Thanks.
Daniel Fisher: Yeah. I think within North America, we're satisfied. I think we're seeing other industry participants kind of model our behavior. What we've done just at a high level, and I appreciate the question is we've really retired candidly older, less efficient assets that we're going to require a lot more maintenance CapEx to get them up to where we need to be to perform in the marketplace. So we've got, if you will, a more fit for purpose structure in North America. And as you see volumes inflect, we won't need cost out what we just need to do is continue to run these facilities as we are continue to ramp up the learning curve. Some of these are still new with new lines. And all of that will lend itself to a more productive and a higher profitable leverage fall through as we see the ramp up. Europe, I think we think we've got -- we've got to continue to look at Europe. I think we've got to continue to look at South America just be cognizant of the fact that there's a lot going on in those regions. There's a couple conflicts in Europe and the Middle East. So all of that will certainly play a role. Inflationary pressures, whether or not the regasification takes place in the mirror in which we think in Europe. So, a lot going into those conversations and decisions, but I think our footprints really solid to deliver on the plans that we've built here, pretty modest growth for this year. And just trying to take advantage of all the actions that we've laid in place and continue to see plants perform and more productivity to be generated as volumes inflect.
Arun Viswanathan: Thanks a lot.
Daniel Fisher: Yeah.
Operator: Our next question comes from line of George Staphos with Bank of America. Please proceed with your question.
George Staphos: Hi. Thanks very much. Good morning everybody. Thanks for the details.
Daniel Fisher: Morning.
George Staphos: Hey, Dan -- good morning. So, first question I had. Thanks for the rundown on what you're expecting. I know you're focused on Ball Corporation obviously, but what do you think the market, particularly North America will grow at this year if you had a sense? Should we assume kind of the -- what your normal growth would be two to four, or do you think it's a little bit less than that or more than that.
Daniel Fisher: Yeah. I do think it'll be in that two to four range. I don't -- there's been some contractual shifts a little bit that's been well documented. So, us being flat means that we've rebalanced our portfolio. I think some others may be growing a bit. So yeah, I'd say low end is the 2%. Let's see what happens in peak season, but we're off to a much more normalized pricing behavior by our customers which is really -- we've talked about, this we need to see that in order to feel some level of confidence in the underlying volumes, and they need volume. So, I'm feeling good. It's in that longer term range with the possibility to inflect into 2025. There's a number of conversations in and around some substrate shift. That's back in the ether in a manner in which it hasn't been for the last couple years, so you might exit the year with a slightly better run rate, but I think that two to three, two to four is a pretty good range industry-wide.
George Staphos: Okay. No, I appreciate that Dan. And one question I had in terms of impact. It's having other positive or negative for you in terms of your operations and demand. There's been some discussion in the trade about some of the beverage companies having their operational issues to plan around which may have led or may lead to disruptions? Will that be a help ultimately for you to that impact fourth quarter at all? Just trying to peer there to extent that we can. And then my last question, I'll turn it over. When you talk about carbon footprint, what we've seen is, and we've talked about this in the past, the plastic guys beginning to push on carbon footprint. What's your one to punch in terms of why you think aluminum is better on that metric versus plastics when we look about carbon footprint through the supply chain? Thanks guys and good luck in the quarter.
Daniel Fisher: Yeah. I think from a balance sheet standpoint, our current spec depending on what region you're in it could be better and could be worse just for full disclosure. I think our plans and the investments that you're starting to see and rolling capacity coming online that's not fully online that continues to be invested in. And a number of those, it's 85% recycled content that's been guaranteed on the sheet, it's green energy and the backdrop of what's going to be fueling those facilities. So a lot of that's happening and a lot of that's happening around the world. We're already, for example, in Brazil, much better than any other substrate in terms of the carbon footprint there. And so a lot of the -- a lot of the supply chain, a lot of the investments and a lot of that industrial complex and around aluminum will reflect getting to where Brazil is. On top of that, there are technologies that are being introduced on the virgin aluminum side that are quite encouraging. And we actually just introduced 10% virgin aluminum on our cup with 90% recycled content that's very close to carbon neutral, because the virgin aluminum now, there's a couple of aluminum companies that have developed carbon free smelting operations and technologies. Those will continue to be invested in, a number of companies will do that. And so as you start to progress toward 2030 really being the goal, whereby people are going to have to put up or shut up. I like the trajectory of flight for aluminum right now much more than I did even two years ago to be quite honest with you. So, I think the investments are showing up. This -- the supply chain are committed in a lockstep in a number of associations to get to some of these aspirational targets. And there are offtake agreements and investments happening to ensure that that happens. So, this is no longer a theoretical argument for us. We have real plans to get there. And I'm confident we'll get there in a shorter period of time than anybody else. But we have to continue to see that investment and continue to step into that. So that's the truth. And we're headed and it's going to become more and more transparent and we're working with our customers to get there. They need this as well with some of the SEC reporting that's being talked about in 2027 and obviously the European reporting requirements that show up in 2026. So, we're kind of sprinting after this carbon neutrality in a way that everybody's kind of got to put up or shut up. And I think we're in a good spot to deliver.
George Staphos: Thanks Dan. And just on customer disruptions and what it might mean for you.
Daniel Fisher: Yeah. We have the ability now with our -- we're talking specifically in North America, we have the ability. We've got a little slack capacity. We're running our plants much better than we were over the last two to three years. And so, I think we're going to be able to react better. We have much better dialogue, much better supply plans, much better S&OP process. We were all forced to dust those off over a COVID and the supply chain [technical difficulty]
Operator: Ladies and gentlemen, please stand by your conference will resume momentarily. Again, ladies and gentlemen, please stand by your conference will resume momentarily. Your conference may now resume.
Daniel Fisher: Okay. Thank you. Sorry about that. We lost connection there for a second. I think in response to the last question, I think we're in a good spot to react to volume surges, if you will, just because of how we're operating in North America, the slack capacity we have in the conversations and the S&OP process that's been established and currently being refined and improved upon each and every day. So, feel good about our ability to react to that.
George Staphos: Thanks Dan. That's great.
Operator: Our next question comes from the line of Mike Leithead with Barclays. Please proceed with your question.
Mike Leithead: Great. Thank you. Good morning, guys.
Daniel Fisher: Good morning.
Mike Leithead: First question just on North America. I think for the full year, your volumes were down about 7%, but your operating EBIT was up about 11%, which suggests your unit economics got quite a bit better this year. So, if we do return to say a 1%, 2% volume type environment, I guess what sort of incremental margin should we expect on actual volume growth here in the business?
Daniel Fisher: Yeah. Keep in mind just as a reference point. This year had a bit of catch up in terms of PPI economics. And so if you -- I think a go forward position more in line with our historical, if we get a percent of growth, we should get 2X in terms of earnings inflection. There's a chance to do a bit better because our footprint is in a better spot. It's more cost effective. But I would think in that 2X the volume unit growth in terms of earnings flow through and maybe a smidge more for the next coming years, depending on mix and channel and category and customer.
Mike Leithead: Great. Thank you. And then second, just for Howard, I think you mentioned, if I heard correctly about $500 million for AR factoring unwind in 2024. I guess how much cost savings would you expect from that action? And where is that cost currently showing up in your P&L today?
Howard Yu: Yeah. So, I mean, basically we use the current spot interest rate associated with the savings. So, if you take $0.5 billion, let's call it roughly 4% of that. And so, as it relates to the savings, we would see it come through in operating at the operating level in the SG&A line. And so that's typically where we would see -- the savings associated with that.
Daniel Fisher: And the two regions specifically building on that is where the higher cost programs are in South America and in North America, but South America even the current spot market interest rates.
Mike Leithead: Great. Thank you.
Howard Yu: Sure.
Operator: Our next question comes from a line of Edlain Rodriguez with Mizuho. Please proceed with your question.
Edlain Rodriguez: Thank you. Good morning, everyone.
Daniel Fisher: Good morning.
Edlain Rodriguez: Just a quick follow-up on the capacity closure question. I mean, yes, you have rationalized your footprint. Like, do you think the industry as a whole is where it needs to be? Like, do other industry players need to close some capacity? Or is the market balanced now given the expected recovery in volume?
Daniel Fisher: Yeah. I think the industry writ large in North America, I think is specifically your question is in a good spot, and keep in mind we're probably holding on to the majority of the excess capacity given the beer brand. So, we're managing that. We're managing that on a cash basis. That'll inflect over a period of time. But I think the industry -- again, if we're growing -- if the industry is growing at 2% to 4%, I think this is a good equilibrium to operate from in terms of asset utilization and supply demand balance.
Edlain Rodriguez: Okay. And just one quick one on Argentina. We might not say again, like, what's the exposure there? Like, how much is Argentina's percentage of sales for the company? And do you expect people to be drinking less beer because of the currency devaluation? Or like -- what are you expecting there?
Daniel Fisher: Yeah. So, the volume comment, there's a joke in here. I would expect them to be drinking more. But in all honesty, what we're seeing is -- the beer space is quite resilient and can growth and aluminum packaging growth versus glass has been very positive over the last handful of years. Let's see how folks get on there. But we're looking at Argentina being essentially flattish, maybe a tick better year-over-year 2022 to 20 -- excuse me -- 2023 to 2024. And inflecting in the back half of the year, probably in terms of volume and into 2025. But they continue to drink beer and they continue to drink beer out of cans and I just don't see a tremendous amount of growth or we shouldn't be counting on tremendous amount of growth versus last year until things start to settle down a bit more there. I'll let…
Howard Yu: Yeah. I think maybe just to go ahead and characterize the size of business for us. It's roughly about a 1% of our operating earnings in 2023 and represents about 2% of our volume. And so, clearly, despite seeing 2023 negative volumes there in Argentina in the region, we still drove to 2%-plus growth driven by the strength of Brazil. So, hopefully that helps characterize a little bit about the size of that business.
Edlain Rodriguez: Okay. Thank you very much.
Operator: Our next question comes from the line of Phil Ng with Jefferies. Please proceed with your question.
Phil Ng: Hey, guys. You guys have been cutting on and off and I think Howard, when you gave your outlook, part of that was cut off. So, I just want to make sure I heard you correctly. So you're guiding to $500 million of free cash flow for 2024, but from a normalized basis, that would probably look a lot better. Did you say Howard, it was like a $500 million headwind from factoring reversing and there's some impact on the tax for aerospace? Can you kind of flush that out? Just make sure we understand what the true free cash flow of power of this business would look like.
Howard Yu: Sure. So, you're right, Phil. I think that is correct that in 2024 we do anticipate about $0.5 billion of factoring. What that will do is essentially add back in working capital. So it's out -- it's a use of cash in that regard. And then of the $5.6 billion total proceeds associated with the aerospace, we anticipate about $1 billion of that as a tax payment. And that also flows through operating, right? And so even though the inflow comes via investing, the outflow goes out of operating. And so I think those are a couple of the nuances associated with the year. Maybe if I just try to bridge for you guys from a 2023 standpoint, our operating cash flow in 2023 was about $1.8 billion, maybe a little north of that. Less the working capital in 2023, that's about $300 million and let's call it $360 million. That gets us to a jump off point, a base of 2024 of about $1.5 billion. And then if you go ahead and take out the tax payment, that gets us to about the $500 million in free cash flow that I referenced.
Phil Ng: Okay. That's helpful. And then on Europe, can you guys provide a little more color? The quarter is definitely a little softer from a volumes perspective. Profitability still look quite strong. How are things kind of shaping up to start the year? I think, Dan, you were kind of pointing to maybe that business inflecting positively from a volume standpoint, maybe sometime in 2Q, but just kind of give us a little more color on how things are progressing in Europe and what you're seeing there.
Daniel Fisher: Yeah. Phil, I think you're right. I think South America and North America ended the year inflecting favorably in terms of volume versus sort of our anticipation in Europe was softer. We started to see that at the third quarter call and signaled that, but it was even a bit softer than that. Places that we operate in that also contributed to that. I think Egypt and Turkey weren't helpful in terms of volumes in the fourth quarter. So that was a bit of what you're seeing in terms of a drag. Where we started the year, again, it's four weeks. We're a little bit better than what we thought. And we thought we'd be kind of flattish to down in the first quarter year-over-year for Europe. Right now, through the first four weeks, it's actually a little better. We thought that heading into peak season in the second half of next year, inflation would moderate in Europe and consumers would do a little better. I think you've seen a lot of retailers get pretty aggressive with CPG companies in terms of what prices they're showing on the shelves. And I think that is that -- all of those conditions should move favorably toward volume for us. So, hopefully that gives you some indication. We're still looking for modest growth for Europe inflecting sequentially in the quarters in the back half of the year. And we might be able to do just a smidge better here in the first quarter if all of these things continue to manifest in the way they are right now that we're seeing.
Phil Ng: Okay. Appreciate the color.
Daniel Fisher: Yeah.
Operator: Our next question comes from the line of Adam Samuelson with Goldman Sachs. Please proceed with your question.
Adam Samuelson: Yes, thank you. Good morning, everyone.
Daniel Fisher: Hi, Adam.
Adam Samuelson: Hi. So, I guess, maybe just going back to South America and I know Argentina had issues in the fourth quarter. Volumes in the segment were up 2%, profit was up 60%. And I'm just trying to make sure with FX and hyperinflation and the Argentine impact, I'm understanding kind of the magnitude of that profit growth in South America as we think about what that business will do or can do into the future if you don't have some of those disruptive impacts by the end of next year.
Daniel Fisher: Yeah. I mean, Adam, I do think that we have quite a bit going on in Argentina. You saw the volume sawing off. I think as we think about the business and as we do various scenario planning, we continue to contemplate how things are looking with the fiscal policies and the like. But if you've looked at that business historically, it has been one of our best performing regions. And we continue to monitor obviously and derisk where we're possible. But as of today, our belief is that that market and we want to make sure that -- we support the customers there and our view on that business being intact long-term remain.
Howard Yu: Yeah. I would add just a couple of comments. Obviously, when you're in more volatile emerging markets, quote unquote countries, you get paid really well to be there. So, when that volume is off, your margins will dissipate just from a country mix standpoint. That's the environment we're in probably versus where you saw us a couple years ago and specific to Argentina. So that volume matters. And as that comes back, we'll inflect up and we'll leverage up and you should see that improvement. Brazil has been very resilient here. The second half, we saw that inflect. We continue to see a strong January and our folks are calling for a decent and improved Q1. And that will help. Things that matter in Brazil then are going to show up in terms of product mix. The way we -- the way we sell our can and ends to our major customers have pretty big tax swings and impacts there. So that will matter. But in terms of the full year, quarter-to-quarter, maybe a little choppy, but the full year will continue to deflect, see a more profitable business there and see mid to single digit growth. Chile is off to a decent start. Paraguay is off to a decent start. So, I'm feeling good about South America. Argentina is meaningful for us though in terms of the question that you posed. So, we just have to -- we're holding to kind of flattish earnings year-over-year. And so, as we get growth from other areas, the margins won't look, I think on a mixed basis as good, but the earnings will flow through consistent with those regions and what those customers have delivered historically.
Adam Samuelson: Okay. Now that's really helpful. And then if I just ask a follow-up on the other kind of non-reportable businesses, the aerosol and the cups business. Aerosol business had a good fourth quarter. How do we think about that line item offsetting corporate moving into 2024?
Howard Yu: Yeah. We saw a -- I think we saw a year-over-year 40% improvement in operating earnings for the aerosol business. We're going to see double-digit growth in earnings next year. The team has done a phenomenal job turning that business around and it's inflecting the growth and a lot of that has to do with this reuse category that's emerging in places like Europe on the personal care spot, even the beverage spot side that we're taking advantage of and very disciplined contract management in terms of inflation and things of that nature. So that business will have doubled in earnings over about a 36-month period. We continue to see nice growth there. Cups will be incrementally better. We've seen foodservice grow. Retail has come off. It was a difficult retail year, but we should see continued tail -- tailwind in terms food is really the big opportunity set for cups, but negligible margin improvement, maybe taken the terms of 5 million to 10 million better year-over-year there.
Adam Samuelson: Okay. That's all really helpful color. I'll pass it on. Thanks.
Daniel Fisher: Thanks.
Operator: Our next question comes from the line of Mike Roxland with Truist. Please proceed with your question.
Mike Roxland: Thanks, Dan, Howard and management [ph] for taking my questions.
Daniel Fisher: Sure.
Mike Roxland: A lot of ground cover today. And just wanted to follow up quickly on the business development efforts you're pursuing. You called it out in the press release. Any reason why you felt the need to call it out? Is this something that you've recently accelerated?
Daniel Fisher: Yes. We are making a more conscious effort to push innovation and it's being received. It's a catch 2022, right? Somebody has to be asking for it as well. And we're seeing more of that. I think I made reference to this in the last earnings call as well. It's going to take innovation and it's going to take differentiation for our customers. It's not just going to be pricing as they move forward. And so, in order to grow, they're going to have to get back to what they've historically done. New product launches, new brand launches, new innovations, all of that's going to matter. And that is something that we do really well. And so, we're stepping into those opportunities and that's why we called it out. And I suspect over the back half of this year and in 2025, you'll start to see some things show up on shelves that we're encouraged about. I'll leave it there.
Mike Roxland: Got it. And does that require any headcount?
Daniel Fisher: No. It doesn't require headcount. I think we have -- what we need. You've always got to look at your business and identify whether you have the right skill mix, whether you're right -- and I think those are the things that we're doing. And candidly, we'll talk about this more at Investor Day in June, but we're on the verge of being exclusively an aluminum packaging company. And we have a couple advantages, right? We are great at innovation, and we can sell sustainability at scale. And those two things need appropriate resources behind them. But that does not mean we're adding cost. In fact, we should be able to do this in a much more efficient manner than we have historically.
Mike Roxland: Got it. And one quick follow-up, Dan. Just in terms of the retailers resetting shelf space, any early signs of how that's going to play out and when you can start -- maybe using some of that underutilized capacity that you have?
Daniel Fisher: We're definitely growing with folks that are taking shelf space and share. It is inflecting in a couple of plants directly located to those customers. I wouldn't say it's meaningful across the system and it will continue to grow. But you really won't see those shelf space impacts until peak season. That's where it really manifests. And so, Q2 and Q3 will be something that could kind of alter hopefully positively our outlook as we're giving it today.
Mike Roxland: Got it. Thanks very much and good luck in 2024.
Daniel Fisher: Thank you.
Operator: Our next question comes from the line of Gabe Hajde with Wells Fargo. Please proceed with your question.
Gabe Hajde: Dan, Howard, good morning.
Daniel Fisher: Hi, Gabe.
Howard Yu: Hi, Gabe.
Gabe Hajde: Somewhat of a fact check here, Dan. You mentioned growth would have been flattish, I guess on the volume side, had it not been for the brand disruption. Is that directionally then about 3 billion units that we should be thinking about?
Daniel Fisher: That's exactly it. I mean 3 billion and somewhere in that $8,200 million impact.
Gabe Hajde: Okay. Thank you for that. And then I feel like we've hit each segment sort of in different answers to questions. But I think I heard you in response to two questions ago. Segment earnings in South America, flattish on the full year, despite the mid single digit earnings growth -- or excuse me -- volume growth that you're talking about. And then in Bev, I guess North Central America, we have a $30 million bad guy from the energy contract. Let's call it 10 to 15 of a good guy for the unwinding of AR factoring, depending on timing. And then flattish volume growth. You mentioned the PPI should be positive. And I think there's a mid-year reset on your prior, I don't know, $180 million or so that was contracted. So, maybe a little bit more prescriptive there. And then low single digit growth in Europe translating into some operating earnings improvement at the segment level in Europe.
Operator: Ladies and gentlemen, please stand by. Your conference will resume momentarily. Again, ladies and gentlemen, please continue to hold. Your conference will resume momentarily. Ladies and gentlemen, please continue to hold. Your conference will resume momentarily. Thank you. You may resume your conference. Gabe, please repeat your question.
Daniel Fisher: Yeah. Gabe, I think I've got it, sorry.
Gabe Hajde: No, I don't think anyone else wants to hear from you.
Daniel Fisher: Let me start with South America. No, we should see an inflection in earnings year-over-year. Some of the factoring that we're retiring will help contribute to that. And we will see earnings growth off of the volume growth. And so, it will more or less mirror 2X the volume growth. It may come in a different form via AR factoring retirement and some interest expense being retired within our SG&A bucket. But it will -- if we grow 5%, we should grow close to 10% earnings in that range. We'll have mixed that a lot of said it country to country, but we have mechanisms to -- continue to inflect profitably on that growth, which we're encouraged by. And then your other question, I said the bridge, let me help you with some bridge items in North America. I think there's one piece that you didn't cover, which is in the first quarter. And Howard made this in his opening comments. The VP Fp&A [ph], you got $30 million. There's a like amount associated with the brand disruption. So, the unit volume we sold and the absorption we got from that brand that had the marketing issue in April is a like amount. So it's closer to $60 million in the first quarter in North America. You will get the PPI benefits and the other things I think the way you laid out, it was in a very constructive manner. And we're not anticipating anything inflecting mid-year. Right now, I think if PPI -- excuse me -- if inflation continues to be in a moderated position, it won't be a plus or minus like we've been talking about here the last two and a half, three years. I think it'll be more or less, we can offset whatever inflationary pickup via productivity gains. So, it won't be a bridge item, but you're right. We have to carry-in for the first six months. You've identified it correctly in terms of the quarter capture on the numbers. But the only thing that I would call out is the additional $30 million disruption probably from the brand issue in Q1.
Gabe Hajde: Thank you for that, Dan.
Daniel Fisher: Yeah.
Operator: [Operator Instructions] Our next question comes from the line of Jeff Zekauskas with JP Morgan. Please proceed with your question.
Jeffrey Zekauskas: Thanks very much.
Daniel Fisher: Sure, Jeff.
Jeffrey Zekauskas: It's been reported in the press that Carrefour, the French retailer, is pushing back against Pepsi because Pepsi wanted to increase prices, I don't know, 7% for 2024. And so what Carrefour is doing is moving away from Pepsi products across the board. When you see something like that, do you think that the consumer products companies may be following different strategies and different geographies? And do you see that as a sign that there's still an emphasis on increasing prices by the consumer products companies for next year?
Daniel Fisher: Yeah. Good question. So, it's not just Carrefour. It's all throughout Europe. Europe is much more regulated on price increases. So by virtue of that, what you can do in North America and what you can do in Europe are vastly different. But what is happening is the retailers are moving very aggressive against brands that are contemplating price increases in Europe. And that disruption is a positive thing for us. In North America, it's also happening not as publicly. But I do think in North America, the brands have much more power in terms of their ability to price. And that's something that they're able to leverage, but they still have to have volume growth, and volume declined in the fourth quarter for a lot of those major brands at the end of the -- in Q3 in a manner in which everyone's going to have to take a different and a more historical approach to pricing. Volume is going to have to show up. And I think that's what the reaction has been in Europe in a really pronounced way because their inflationary pressures because the energy concerns have been much more present. And I think that's something that is regulated and it's also something where end consumers have really fallen off in terms of volume purchases in the fourth quarter.  So hopefully that helps. But yes, different behavioral patterns in North America and Europe. It's always been that way. But I do think the aggressive nature of the retail sentiment now in Europe probably lends itself to a better outlook for us in terms of volume.
Jeffrey Zekauskas: So would that mean that your better outcome for volume in Europe is more of a 2025 event rather than a 2024 event?
Daniel Fisher: No, I think what we're pointing to -- so this is something that we were seeing in the fourth quarter. It's newsworthy now, but this is not something that would alter, I think, our outlook quite yet. I think what's more important is like the regasification and the inflationary pressures that folks are experiencing in the end consumer across Europe. That will be more important than I think this retail issue of 5% price versus 7%, 3%, something along that nature. So, we do believe that there'll be sequential volume improvement in Europe and it will inflect to kind of a low to mid single digit number kind of in that 3%-ish range for growth in Europe in our business. And that'll be stronger toward the back end of the year. And then to your point, yes, 2025 will be stronger even more.
Jeffrey Zekauskas: Okay. Great. Thank you so much.
Daniel Fisher: Thank you. And Christina, we'll take one more question.
Operator: Thank you. Mr. Fisher, we actually have no further questions at this time.
End of Q&A:
Daniel Fisher: Okay. Thanks everybody. And we'll hopefully see most of you at the Investor Day here in June. Thanks very much.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.